Operator: Ladies and gentlemen, thank you for standing by and welcome to NetScout's Second Quarter Fiscal Year 2025 Financial Results Conference Call. At this time, all parties are in a listen-only mode until the question-and-answer portion of the call. As a reminder, this call is being recorded. Tony Piazza, NetScout's Deputy CFO and his colleagues at NetScout are on the line with us today. [Operator Instructions] I would now like to turn the call over to Tony Piazza to begin the company's prepared remarks.
Tony Piazza: Thank you, operator and good morning, everyone. Welcome to NetScout's second quarter fiscal year 2025 conference call for the period ended September 30, 2024. Joining me today are Anil Singhal, NetScout's President and Chief Executive Officer; Michael Szabados, NetScout's Chief Operating Officer; and Jean Bua, NetScout's Executive Vice President and Chief Financial Officer. There is a slide presentation that accompanies our prepared remarks. You can advance the slides in the webcast viewer to follow our commentary. Both the slides and the prepared remarks can be accessed in multiple areas within the Investor Relations section of our website at www.netscout.com, including the IR landing page under Financial Results, the webcast itself and under Financial Information on the Quarterly Results page. Moving on to Slide number 3. Today's conference call will include forward-looking statements. Examples of forward-looking statements include statements regarding our future financial performance or position, results of operations, business strategy, plans and objectives of management for future operations and other statements that are not historical fact. Actual results could differ materially from any forward-looking statements. These statements speak only as of today's date and involve risks and uncertainties, including but not limited to, those described on this slide and in today's financial results press release which are available on the Investor Relations section of our website as well as in the company's most recent annual report on Form 10-K and subsequent SEC filings on file with the Securities and Exchange Commission. NetScout assumes no obligation to update any forward-looking information, except as required by law. Now, let's move -- let's turn to Slide number 4 which involves non-GAAP metrics. While this slide presentation includes both GAAP and non-GAAP results, unless otherwise stated, financial information discussed on today's conference call will be based on a non-GAAP basis only. The rationale for providing non-GAAP measures, along with the limitations of relying solely on those measures is detailed on this slide and in today's press release. These measures should not be considered in isolation from or as a substitute for financial information prepared in accordance with GAAP. Reconciliations of all non-GAAP metrics with the applicable GAAP measures are provided in the appendix of the slide presentation in today's earnings press release and on our website. I will now turn the call over to Anil for his prepared remarks. Anil?
Anil Singhal: Thank you, Tony and good morning, everyone. Welcome and thank you all for joining us today. We delivered Q2 fiscal year 2025 revenue and earnings results in line with our expectations as we continue to position NetScout to win in the market. We remain confident that our differentiated solutions are well positioned to address our customers' cybersecurity and service assurance needs well into the future. During the quarter, we released several products and -- product enhancements aligned with key technology trends that help address our customers' cybersecurity and service assurance needs, including our AI-ready smart data solutions. We also had a strong turnout and interest in our recent annual Engage Technology and User Summit that we attribute to our customer enthusiasm for our current and upcoming portfolio of solutions. Looking ahead, we remain focused on executing against our full fiscal year 2025 non-GAAP expectations as we capitalize on the opportunity and navigate the challenges of the current market environment. Let's turn to Slide number 6 for a brief recap of our non-GAAP financial results for the second quarter and first half of our fiscal year 2025. For the second quarter, revenue was approximately $191 million, down approximately 3% compared to the prior year period. The comparison was impacted by 2 items that benefited the prior year period, approximately $11 million of backlog-related revenue and approximately $3 million for the now divested test optimization business. Normalizing for those, Q2 revenue would have grown at a mid-single-digit percentage. Diluted earnings per share was $0.47 for the second quarter which is down approximately $0.23 or $0.14 from the prior year. As we previously noted, this includes an approximately $0.15 headwind from the reversal of incentive-based related expenses that benefited last year's Q2. Normalizing for this, Q2 earnings would have been slightly higher year-over-year, even after absorbing the $0.02 impact from an unrealized foreign investment loss. For the first half of the fiscal year or the 6-month period ended September 30, 2024, revenue was approximately $366 million, down approximately 10% year-over-year, primarily due to the unusually high levels of backlog-related revenue that benefited last year as well as the aforementioned test optimization divestiture. Normalizing for these factors, our first half revenue would have grown low single digits year-over-year due to solid order flow growth. The corresponding diluted earnings per share for the first half of $0.75 was a decrease of approximately $0.18 year-over-year. Normalizing for the previously mentioned incentive-related expense headwind alone, our first half EPS would be relatively consistent year-over-year as cost management measures and a gain on a foreign investment helped to offset the revenue headwind impact. Now, let's move to Slide number 7 for some further perspective on business and market insights. Starting with our service assurance offerings. Revenue for the first half of fiscal year 2025 was down approximately 13% year-over-year. The decline was largely attributable to the backlog-related revenue headwind and the constrained spending environment primarily from the service provider element of the market. Importantly, though, carriers continue to invest their 5G initiatives domestically and internationally at a measured pace as they manage investments against monetization opportunities. On the enterprise front, we also see spending scrutiny but maintain traction and remain confident that as customers advance their digital transformation initiatives, NetScout is well positioned to win additional business by leveraging our value proposition of extending visibility to the edges of the network. Additionally, as customers advance their AI initiative, we believe our new AI-ready high-quality smart data will be invaluable to ensure unique and deep insights critical for enabling organizations to improve decision-making and optimize the user experience. Moving to our cybersecurity offering. Revenue in the second quarter increased approximately 3% and was down approximately $0.04 for the first half, primarily due to the backlog-related headwind. Cybersecurity continued to represent a strong growth opportunity for NetScout as customers prioritize spending to protect themselves from the expanding cyber threat landscape. This was validated by our recently released first half 2024 Threat Intelligence Report, where we highlighted that the surge in DDoS attacks and activity continues to threaten critical global infrastructure, including banking, financial services, government and utilities. The report points to a dramatic 43% increase in the number of application layer attacks and 30% increase in volumetric attack. Michael will provide more insight regarding customer wins in our offering areas during his remarks. Now, let's move to Slide number 8 to review our outlook. Looking ahead, we are reaffirming our full year 2025 non-GAAP revenue and EPS outlook. Jean will provide a recap of the outlook in her remarks. As we navigate both the opportunities and challenges of the current market environment, we remain focused on executing against our full fiscal year 2025 expectations as we advance our strategic priorities. These include enhancing our cybersecurity offerings to meet growing customer needs given the expanding cyber threat landscape and continue to prudently manage costs. During the first half of the fiscal year, we completed the majority of the previously announced voluntary separation program. We expect this to have a benefit of approximately $25 million of annualized cost reduction, a portion of which will be recognized during fiscal year 2025. Long term, we remain committed to leveraging our visibility without Borders platform to help customers address the performance, availability and security challenges of the complex digital world. We look forward to sharing our progress with everyone throughout the remainder of our fiscal year. With that, I'll turn the call over to Michael.
Michael Szabados: Thank you, Anil and good morning, everyone. Slide 10 outlines the areas I will be covering today, starting with Q2 customer win highlights. This quarter, I will begin by focusing on a high single-digit 8-figure combination of orders from a leading global financial institution that spans both our service assurance and cybersecurity product lines. This has been a long-standing customer of ours, who uses our service assurance solutions to manage the performance of their networks and customer-facing applications in order to ensure the quality of their customers' experience. They leverage our cybersecurity solutions to protect the availability of their infrastructure against DDoS attacks to prevent disruption to their digital services. In both product lines, they upgraded and expanded our solutions to ensure they have the most current technological capabilities such as adaptive DDoS and security to assure and secure their network. We were awarded this additional business due to our proven technology, outstanding customer support and trusted long-standing relationship. Turning to our go-to-market activities now. As Anil stated, we recently released our first half 2024 DDoS Threat Intelligence Report. The report provided significant insight into the evolving cybersecurity landscape, leveraging our visibility into nearly half of all internal traffic. Additionally, since our last earnings call, we have announced several product advancements. This includes the release of our Omnis AI Insights solution to deliver high-quality, actionable AI-ready streaming smart data based on Deep-Packet Inspection technology to feed our customers' AI initiatives and enable critical insights and outcomes. We also announced an update of our advanced scalable Deep-Packet Inspection based Omnis Cyber Intelligence network detection and response for NDR platform which now has additional behaviour analytics to enable earlier detection of advanced threats. Finally, we recently hosted our annual Engage Technology and User Summit in Arlington, Texas. It was another successful event with strong attendance and interest in our new technology initiatives. At the show, we highlighted our upgraded legacy and new solutions and showcased how our highly curated data set can solve security, observability and service assurance problems faster when integrated with AIOps platforms from our industry-leading partner network, including Splunk and ServiceNow, who co-presented these areas and engaged with our customer attendees. We also conducted our typical combination of presentations, panel discussions, solution demonstrations and hands-on training. Thank you, everyone. That concludes my remarks and I will now turn the call over to Jean.
Jean Bua: Thank you, Michael and good morning, everyone. I will review key metrics for our second quarter and first half of fiscal year 2025 and provide some additional commentary on our fiscal year 2025 outlook. As a reminder, this review focuses on our non-GAAP results unless otherwise stated and all reconciliations with our GAAP results appear in the presentation appendix. Regardless, I will note the nature of any such comparisons. Additionally, all comparisons are on a year-over-year basis, unless otherwise noted. Slide number 12 details the results for the second quarter and first half of fiscal year 2025. Focusing on our quarterly performance, total revenue for the second quarter of fiscal year 2025 was $191.1 million, down 2.9%. As Anil shared, our Q2 fiscal year 2025 revenue would have grown at a mid-single digit percentage when normalizing for the $11 million in backlog usage and $3 million from the disposition of our test optimization business that took place last year. Product revenue of $81 million was up 0.6% year-over-year. Service revenue was $110.1 million, a decrease of 5.3% which was primarily due to the timing of the renewal of a large customer's maintenance contract that is expected to close in Q3. Gross profit margin was 79.7% in the second quarter, down 0.6 percentage points. Quarterly operating expenses increased 5.2% in comparison to the prior fiscal year which benefited from the reversal of incentive-related expenses. Normalizing for this, operating expenses would have declined mid-single digits, primarily attributable to cost management initiatives, including the voluntary separation program. We reported an operating profit margin of 23.1% in Q2 fiscal year 2025 compared with 28% in the same quarter last year. Diluted earnings per share was $0.47 which included an unrealized loss on a foreign investment of approximately $0.02. This was down 23% from $0.61 in the same quarter last year due to the incentive-related expense reversals in the prior period as well as the unrealized investment loss. Turning to Slide 13; I will review key revenue trends by product lines and customer verticals. Please note that all comparisons here are on a year-over-year basis, consistent with our other remarks. As a reminder, we entered the prior fiscal year with approximately $48 million of backlog which we did not get the benefit of this fiscal year. For the first half of fiscal year 2025, our service assurance revenue decreased by 13.5%, while our cybersecurity revenue decreased by 3.9%. During the same period, our service assurance product line accounted for approximately 65% of our total revenue, while our cybersecurity product line accounted for the remaining 35%. Turning to our customer verticals. For the first half of fiscal year 2025, our enterprise customer vertical revenue was consistent, while our service provider customer vertical revenue decreased 22.2%. During the same period, our enterprise customer vertical accounted for approximately 60% of our total revenue, while our service provider customer vertical accounted for the remaining 40%. Turning to Slide 14; this shows our geographic revenue mix. For the first half of fiscal year 2025, 58% of our revenue was derived from the United States, with the remaining 42% provided by international markets. Also, no customer represented 10% or more of our total revenue in the second quarter or the first half of fiscal year 2025. Slide 15 details certain balance sheet and free cash flow items. We ended the second quarter with $401.9 million in cash, cash equivalents, short and long-term marketable securities and investments, representing a decrease of $22.3 million since the end of fiscal year 2024. Free cash flow for the quarter was a use of $5.8 million. During the second quarter of fiscal year 2025, we repurchased approximately 14,000 shares of our common stock for approximately $257,000 or an average price of $18 per share. We currently have capacity in our share repurchase authorization and subject to market conditions, intend to be active in the market during the balance of the fiscal year. From a debt perspective, we ended the second quarter of fiscal year 2025 with $75 million outstanding on our revolving credit facility. In October, we leveraged the favorable financial -- financing market environment to amend and extend our credit facility. The amended revolving credit facility reduces the facility size from $800 million to $600 million and extends the maturity from July 2026 to October 2029, while maintaining financial flexibility and lowering financing costs. To briefly recap other balance sheet items, accounts receivable net was $118.6 million, representing a decrease of $73.5 million since March 31, 2024. The DSO metric at the end of the second quarter of fiscal year 2025 was 53 days versus 69 days for the same period in the prior year and 81 days at the end of fiscal year 2024. The lower DSO metric in the second quarter of this fiscal year was due to the timing and composition of bookings. Let's move to Slide 16 for commentary on our outlook. I will focus my review on our non-GAAP targets for fiscal year 2025. As Anil noted earlier, we are reaffirming our non-GAAP outlook for fiscal year 2025 that was presented during our July 25, 2024, first quarter earnings call. As a reminder, for fiscal year 2025, we anticipate revenue in the range of $800 million to $830 million. Additionally, we continue to anticipate non-GAAP diluted earnings per share within the range of $2.10 to $2.30 with the midpoint consistent year-over-year. The full year effective tax rate is expected to be approximately 20%. Our weighted average diluted shares outstanding is assumed to be approximately 73 million shares which incorporates our recent share repurchase activity but does not assume any further repurchase activity. Finally, given that we are only halfway through the fiscal year, any further impact associated with the previously mentioned foreign investment which currently reflects a year-to-date unrealized gain will be evaluated as the fiscal year progresses at its value and therefore, impact to our outlook fluctuates. Our fiscal year 2025 non-GAAP guidance also reflects the anticipated benefits associated with the previously mentioned voluntary separation program restructuring actions and ongoing cost management initiatives. In conjunction with these actions, we recorded a GAAP restructuring charge in the first half of fiscal year 2025 attributable to onetime separation payments of $19 million, $2.4 million of which was in the second quarter. We expect to record an additional restructuring charge of approximately $0.6 million in the third quarter of fiscal year 2025, primarily for severance costs associated with the remaining implementation of the current VSP. We expect that these actions will generate annual run rate savings of approximately $25 million, of which approximately $19 million will be realized in fiscal year 2025 due to the timing of these actions. Finally, I would like to provide some color for the second half of fiscal year 2025. Consistent with the expectations that we shared on our last earnings call, we anticipated a revenue skew of approximately 45% in the first half of the fiscal year and 55% in the second half of the fiscal year. We expect the remaining 55% of the full fiscal year's revenue to be essentially split evenly between the third and fourth quarters. We also expect the corresponding non-GAAP earnings per share to be split evenly between the third and fourth quarters. That concludes my formal review of our financial results. Before we transition to Q&A, I'd like to quickly note that our upcoming IR conference participation is listed on Slide 17. Thank you. And I'll now turn the call over to the operator for questions.
Operator: [Operator Instructions] And we will take our first question from Matthew Hedberg with RBC Capital Markets.
Unidentified Analyst: This is Mike Richards [ph] on for Matt. Maybe just broadly to start, are you guys seeing things stabilize in the environment? And then given that you expect an even split between Q3 and Q4 revenue which usually shows a seasonally strong Q3, do you think you could get some boost from a December budget flush this year that you're maybe not factoring in?
Anil Singhal: Yes. I mean, that's why we have a guidance range and to account for those kinds of upsides. And yes, usually, we benefit from the budget flush because we work with very big companies, large carriers. And that's why often the Q3 is actually better than Q4 in terms of bookings. So yes, we are looking to that and we are working on several opportunities.
Unidentified Analyst: Got it. And then maybe is there anything notable to call out in cybersecurity in terms of what's driving growth and then maybe how that's tracking against your internal expectations and getting to that double-digit growth that you guys are aiming towards?
Anil Singhal: Yes. So we have made a slight pivot about 6 months ago in terms of our positioning to cover some of the gaps in cybersecurity solutions in the market which is more around the analytics part which we have some of the best technology in the DPI area. So that's going very well. Traction is a little slow but we are looking over the next 6 to 12 months, I think we're going to see this attached to some of our customers and we have also come up with some interesting ideas on how we can position our OCI or Omnis Cyber Intelligence solution in the DDoS space which was not in the plan last year.
Operator: And we will take our next question from Kevin Liu with K. Liu & Company.
Kevin Liu: Nice quarter here. Maybe just to start off with, Verizon has started talking about moving towards stand-alone 5G in the near future. I'm wondering if you can talk through some of the puts and takes on how that either increases your opportunity as they do things like network slicing versus any risk you might see if they start to deprecate some of the more legacy 4G networks?
Anil Singhal: Well, there is continue to be, Kevin, a consolidation in the market, both in Europe and which does affect some of our business. But overall, I think the vendors are introducing slicing this year. We are announcing a new release. I don't see a big potential in the short term on private 5G or stand-alone but slicing is both a revenue opportunity for our customer as well as for us because slicing is an option -- optional module in our solution which doesn't require new hardware upgrade but it's a software solution. So yes, we are looking for initial 2 or 3 customers in the U.S. very interested in leveraging that functionality.
Kevin Liu: Got it. And then also just on the carrier front, there seems to be more talks on their part about just the convergence of mobile and fiber broadband. I'm wondering if you have solutions to address kind of the latter piece of that or if there's anything in kind of the pipeline that you could do in order to help carriers as we move down that strategy.
Anil Singhal: Yes. So there are two kinds of carriers, people who are monitoring user plane. And those people will obviously drive more business with us as fixed wireless initiatives take over in U.S. and elsewhere. And we are counting on that for next year. For people who are not monitoring user plane, they are largely not impacted from a revenue point of view for us. But our top 5 or 6 big customers are all very interested and we think that there will be uptick in the dramatic uptick in the fixed wireless traffic. And also the ARPUs for those are much better than the mobility. So because of that, I think there will be potential investment on NetScout.
Kevin Liu: Great. And if I could just ask one last one. Any update on your AIOps strategy as it relates to how much contribution you expect from some of the leading partners that you talked about versus what you guys might be focused on directly?
Anil Singhal: Yes, this is very early. We have seen a lot of interest, a lot of discussions are going on with the customer and partners but we don't expect much impact from that this year, this fiscal year from AIOps.
Operator: And it appears that there are no further questions at this time. I will now turn the program back to Tony Piazza.
Tony Piazza: Thank you, operator. That concludes our financial results call for today. Thank you for joining us and enjoy the rest of the day.
Operator: Thank you. This does conclude today's presentation. Thank you for your participation. You may disconnect at any time.